Operator: Good day, ladies and gentlemen, and welcome to the Q2 2013 DHT Holdings Inc. Earnings Conference Call. For your information, today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Eirik Uboe. Please go ahead, sir.
Eirik Uboe: Thank you. I'm joined today by my colleagues Svein Moxnes Harfjeld, our CEO; and Trygve Munthe, our President. Before we get started with today's call, I would like to make the following remarks. This conference call is also being broadcast on our website, dhtankers.com, and a replay of this conference call will be available on the website. In addition, our Form 6-K evidencing this news release will be filed with the SEC. As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, which include statements regarding DHT’s prospects, the outlook for tanker markets in general, expectations regarding daily charter hire rates and vessel expectation, forecasts of world economic activity, oil prices and oil trading patterns, expectations regarding seasonal fluctuations in tanker demand, anticipated levels of new building and scrapping and projected dry dock schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from the expectations reflected in these forward-looking statements. And with that, I'll turn the call over to Svein Moxnes Harfjeld.
Svein Moxnes Harfjeld: Thank you, Eirik, and good morning to you, all. Our EBITDA for the quarter came in at $0.9 million, a net loss for the quarter of $7.7 million or equal to $0.50 per share after adjusting for loss on sale of a vessel of $0.1 million. As of June 30, our cash balance was $43.1 million, equal to $2.79 per share. The cash balance reflects the $25 million prepayment made in connection with the restructuring of the credit agreement with the Royal Bank of Scotland during the quarter. Further, the cash balance was impacted by a $3.4 million increase in accounts receivable; a $2.6 million decrease in accounts payables during the quarter, among others, due to an increase in earned but not yet received freight revenues. We will pay a dividend of $0.02 per common share for the quarter payable on August 28 for shareholders of record as of August 19. When determining the dividend, our board has taken into account the general business conditions and the continued weak tanker market. As earlier reported, in April, we amended our credit agreement with RBS, whereby the minimum value covenant has been removed in its entirety and the margin has increased to 1.75%. Furthermore, the installments scheduled to commence in 2016 have been changed from a fixed $9.1 million per quarter to a variable amount equal to our subsidiary, DHT, Maritime's, free cash flow in the prior quarter, capped at $7.5 million per quarter. The next scheduled installment would, at the earliest, take place in the second quarter of 2016. As part of the amendment, we made a prepayment of $25 million in April 2013. DHT Maritime's financial obligations under the credit agreement with RBS are guaranteed by DHT Holdings. As a result of the amendment, a total of $1.4 million comprising unamortized fees on the original loan, as well as fees and legal costs related to the amendment have been charged to financial cost during the second quarter. Also as earlier reported, we sold our oldest vessel, the VLCC DHT Regal, for $23 million, and the vessel was delivered to the buyers on April 29. A loss of $0.6 million in connection with the sale was recorded in the first quarter and a further loss on sale of $0.1 million was recorded in the second quarter. The net proceeds from the sale were used to reduce the outstanding debt under the RBS credit facility. The DHT Sophie completed her second special survey and dry dock during the second quarter and had a total of 17 days off hire. Subsequent to the end of the quarter, our Aframax DHT Sophie and our Suezmax DHT Trader have been fixed on short-term time charters for terms of 8 to 16 months and 6 to 12 months, respectively. The charters are with the trader and an old major, respectively, and we expect to -- expect the charters to commence during August. Thank you. And then we'll open up for Q&A.
Operator: [Operator Instructions] Now we'll take our first question from Herman Hildan from RS Platou Markets.
Herman Hildan - RS Platou Markets AS, Research Division: I'm wondering now that you've kind of cleared the path for -- in terms of your rest [ph] facility and OSG the next [indiscernible] step for the company would be growth. And you talked about big changes of on the eco [ph] side for VLCCs. Could you say anything in terms of, call it, where you are in your filing [ph] phase of commencing a growth stage for the company?
Svein Moxnes Harfjeld: I think, as you alluded to, we are spending an increased amount of time in considering how we can grow and expand the business. We think that the timing is now becoming quite interesting as investment opportunities are arising. And in parallel with that, we've spent a great deal of time in understanding the benefits of the new designs from shipyards. This is a work that is not yet complete. But I think we filed -- our filings, so far, are quite intriguing. So this is very much on our mind and that would be added and not yet concluded exactly in what shape and form we can execute on this strategy. But it's -- certainly, our priority is to look at how we can expand the business.
Herman Hildan - RS Platou Markets AS, Research Division: And would that be within the VLCC segment or your [indiscernible] segment?
Svein Moxnes Harfjeld: I think it's fair to assume that our primary focus is on the big ships, the 2 of the VLCCs. And this took place into our belief that this is the long-haul trade that will expand. And as such, it will be a big ships that will benefit from that.
Herman Hildan - RS Platou Markets AS, Research Division: Okay. And lastly, we've seen newbuild prices come up a bit from -- on the product tankers, and also some of the segments. What's your feel in terms of newbuild prices for the VLCCs? Are they coming down, or sort of are they also going up, or is it a bit different dynamics there?
Svein Moxnes Harfjeld: I think it's probably reasonable to assume that these prices will move in tandem, but you need to take note also that quite a few of the yards haven't had any new VLCCs [indiscernible] when the time is ready. So whether it's up from a theoretical price level a few months ago, on our side it remains the same.
Operator: [Operator Instructions] We will now take our next question from private investor, Stephen Jernis. [ph]
Unknown Attendee: I wanted to ask if you could provide more detail on the increase in receivables and the decrease in payables and what caused both of those?
Svein Moxnes Harfjeld: Increasing part of our fleet are trading in the stock markets. There will be some fluctuations from quarter-to-quarter as to -- at the quarter end point in time, whether you have received freights or whether voyages are being completed and according with the calendar months. And when bunker builds are due to -- et cetera. So this will not at all run in tandem with the quarters per se, but they will be related to when the voyages are complete and et cetera. But now also with the 2 ships expected to end the time charters, that will again benefit the company from a working capital perspective, in the way that the charters typically pay the higher upfront and also will take care of the bunker and [indiscernible].
Unknown Attendee: So it doesn't reflect any credit issues either on getting credit from suppliers or customers paying their bills?
Svein Moxnes Harfjeld: No. And the majority of this change of the quarter end are some big freights that were received in July. So...
Operator: [Operator Instructions] It appears there are no further audio questions at this time.
Svein Moxnes Harfjeld: Well, it remains to say thank you for attending our conference call. We appreciate your continued support. Thank you.